Rosa Stensen: Hello, and welcome to Huddly's Q3 Presentation. My name is Rosa Stensen, and with me is Abhi Banik, our CFO. We report a revenue of NOK 45 million for the quarter, NOK 147 million year-to-date. This is reflecting a 50% growth year-on-year. The gross margin in the quarter is 45%. In the quarter, we continued to deliver on our key strategic goal, increasing the strategic partner revenue stream, and we proudly announced a new partnership with our Danish friends, Jabra. Huddly C1, our next-gen AI-driven videobar, started to ship to end customers this quarter. When it comes to the market outlook, despite the strong growth year-to-date, we do see increased market uncertainty, mainly in North America, and this is impacting our channel business. In the quarter, we continued to deliver on our business plan. On the strategic partner side, we both increased revenue and signed Jabra as new strategic partner. On the product side, we started shipping Huddly C1, our next-gen AI-driven videobar. And we continue as well to work with strict cost controls. As we mentioned in our Q2 presentation, we are actively working to increase the strategic partner revenue for Huddly. As part of that, we are very proud of the new partnership with Jabra. Jabra is part of GN Store Nord, a listed company on the Danish Stock Exchange and has a strong global presence. The partnership will have a key focus on enabling the strength of both companies. Whilst Huddly has very strong technical capabilities in large rooms, Jabra enables Huddly products on the Android ecosystem. Further, with Jabra's strong global presence, Jabra is well positioned to support Huddly to expand its footprint, particularly in the APAC region. Our current growth rate is driven by our strategic partner revenue. With our new partners coming on stream as well as more new partnerships in the pipeline, we expect the growth momentum to continue. As part of our second priority in our business plan, we continue to deliver on our product road map, latest with the shipment of our Huddly C1 videobar as well as this week's announcement of the spatial awareness for Crew. We continuously improve our products with software updates. We do this by utilizing the same hardware. For C1, in addition to the improvements already received. This means that as of early 2026, it will become part of the Huddly Crew platform, allowing our customers to extend the videobar with additional Crew multi-camera functionality. In the quarter, we continued the Huddly C1 and Huddly Crew go-to-market roadshow, this, together with Lenovo and Microsoft. In the quarter, we went to multiple locations in the U.S. And in Q4, we will continue the efforts. Here, demonstrated with some of the planned cities in Europe. And nothing makes me more happy than our happy customers. And one of those are British Telecom. British Telecom is a company with 85,000 employees worldwide. They have been part of our customer early field trials and have ordered and installed a large amount of Huddly C1 and Huddly Crew. If you want to see the full user story, go to our web page at huddly.com. Asia Pacific represents approximately 30% of the worldwide market in video conferencing, and Huddly has started to gradually increase its market presence in that region. In Q3 and early Q4, we signed two new distribution agreements for our channel business. We were also present with Barco, both at InfoComm, India and GITEX in Dubai. And we also believe that together with Shure and Jabra, we will increase further our presence in that market. Whereas Huddly in Q3 continues to deliver on its business plan and showing significant growth, there are uncertainties in the market that are out of our control. Year-to-date, 57% of our revenue comes from North America, which faces a general uncertainty that is impacting our channel business. This is partly a result of negatively affected investment sentiment in certain sectors. This is amplified by the government shutdown. This results in delays, for example, in federal purchasing. Similar situation is seen in Canada, a market Huddly has had a good presence in. Canada as well as the U.S. have not approved the federal budgets. And when it comes to the U.S. tariff, specifically, Huddly continues to manage these, and the risk profile remains the same as outlined in the Q2 presentation. North America has historically been a very important market for Huddly, and we are well positioned to continue our expansion there when the market stabilizes. And with that, I will give the word over to Abhi, who will take you through the financial part of this presentation.
Abhijit Banik: Thank you very much, Rosa. So I will now, in this part of the presentation, go further down into the financial details of the Q3 '25 presentation. Let me first start off with revenue. Revenue in Q3 was NOK 45 million, which is a 75% increase versus the same quarter last year. This is mainly driven by strong growth in strategic partner sales, as has been already explained in this presentation. We expect that to continue to grow in the coming quarters as we expect gradual ramp-up of revenue and volumes from both new and existing partners, and we have additional partners in the pipeline. Sales to channel in Q3 '25 increased by 8% compared to Q3 '24, while year-to-date growth showed a strong 40% year-on-year increase. If you look at the graph, you can see that there is a decline between Q2 and Q3 2025. And the main reason for that is, number one, due to increased uncertainty in the U.S. market. Number two, we did a stock up of goods to U.S. distributors worth approximately NOK 8 million in Q2. And finally, there is a general seasonality in our business, where typically the third quarter of the year generally has a relative softness during the year. Let me move on to gross margin. Gross margin for the third quarter was 45%, which is up from 43% from previous quarter. On a year-to-date basis, the gross margin was 47%. This is within the business plan range of 45% to 50%, and we expect that to continue going forward in the next few quarters. Looking at the summarized P&L, I already discussed the revenue, which then translates into increased gross profit as well. Gross profit on a year-to-date basis increased by 65% in '25 versus same period 2024. And if you look at the operating expenses, you can see that this is as per our business priorities in the business to have a strict cost control. We have reduced OpEx in Q3. You can see that in this table, there is a slight increase on a year-to-date basis. However, that is related to noncash items, which were affected in the first quarter of the year. So if you take out those effects, it was also a reduction on a year-to-date basis. So this is as a result of the cost saving program that we implemented in the first half of 2025, and we are seeing the results from that. Consequently, both in Q3 and on a year-to-date basis, there is a significant reduction in losses, and we are improving our results. Capitalized R&D in 2025 Q3 was approximately NOK 20 million, which is consistent with historical levels. So we are really investing for the future in this company and our road map, which we are investing in, is what is going to support future revenue growth. We have 56 engineers in the company, approximately 45 of them work with AI, machine learning and software, and this is a very important part of our differentiation strategy. Previous investments in the company have enabled tangible results such as the shipment of the C1 videobar in August in addition to the software upgrades and updates that we were made to the existing product range. We expect investments to continue going forward as we are investing into defending our leading technological position in the market. I'd like now to wrap up this part of the presentation with the cash flow statement. Cash end of September 2025 was approximately NOK 85 million, which is an increase from NOK 52 million at the start of the quarter. Operational cash flow was positive, which is a significant improvement from previous quarters. That is mainly due to increased gross profit, but also change in working capital, which you can see more in details in the cash flow statement in the report. Investments, that was -- what we discussed in the previous slide, was approximately NOK 20 million in the quarter. And if we move into the financing part, we did an equity raise in Q3. We raised NOK 61 million in gross proceeds through a private placement. And we did an additional subsequent offering after Q3, which will then be recognized in the Q4 cash flow statement, and that is representing approximately NOK 7.7 million in additional cash. And that wraps up the financial part of the presentation and the overall presentation for this Q3 '25 quarter announcement, and we will now open up for questions from the audience.
Rosa Stensen: Hello, and welcome to the Q&A session. So now together with us is Jon Øyvind. Thank you for joining us. I see we have already received some questions. So we will just dive right into it. First question, so how does your alliance with Jabra contribute to sales? That's a good question. So first of all, Jabra is a Danish company. And with kind of the combined Nordic heritage, we feel like Jabra is more than a sales machine for Huddly. It's a partnership with a very strong roots in kind of the Nordic heritage, both when it comes to the culture, but also the design language of our products and et cetera. So Jabra's relationship with Huddly is a direct distribution. So Huddly will supply Jabra directly with the products that Jabra will take to the market through their go-to-market channels. And we couldn't be more happy than having Jabra as one of our partners as they are very strong globally and are leading in our industry. And there is a question, your cash burn is still high. Do you expect another capital raise going forward? I think this one is, Jon Øyvind, then aimed to you.
Jon Øyvind Eriksen: Yes. We see that both the revenue and profitability of the company is improving quarter-on-quarter. And the Board doesn't plan for any new capital raise.
Rosa Stensen: And then there is another question that basically asks the same. I will read the question. You can either complement or stay with the same answer. So it is, given the year-to-date burn of approximately -- the cash burn of NOK 91 million, excluding financing and free cash balance of NOK 70.3 million. Is it likely the company will require additional financing before reaching a projected cash flow positive position in '26, especially in light of the 20% -- 21% revenue decline versus last quarter and ongoing market uncertainty in North American market?
Jon Øyvind Eriksen: It is true that we see fluctuating revenue from quarter-to-quarter. And there are also reasons for that. Some of them are part of the natural cycle. Some is related to government shutdown in -- and not having the budget approved in Canada. But we still maintain the target that we have set out in the business plan, and the Board doesn't plan for a new capital raise.
Rosa Stensen: Then there is a question based on the shutdown in the U.S. How will this affect the Q4 expectations? So this is back to Jon Øyvind a bit the same as you answered just now with regards to -- we see there is a market uncertainty in the U.S. However, as Jon Øyvind said, the Board maintains its previous communication with regards to those expectations. Anything to add to that?
Jon Øyvind Eriksen: No, it's -- except from that, it is very difficult to predict how the political solution is going to be in the U.S. market, but we are certain that at some stage, the government situation in U.S. will normalize.
Rosa Stensen: And then there's a question about, can you explain how you plan to increase market share in the Asia Pacific region? So I will take this one. So if we go to the second last page of the presentation in the operational part of the presentation, we explained that we have in the quarter, Q3, but also early Q4, signed two new distribution agreements in the region, one particularly in India, where Huddly has not had a direct distribution to before, and the other one in Australia where Huddly had some presence. In addition to that, we are going together with our partners such as Shure, Barco and Jabra who have a strong presence in that market. So we believe that going together with our partners, but also strengthening our channel in that region will start to gradually increase our market presence there. Then there's a question, good to see your increase in sales strategic channel. However, NOK 90 million is small, and progress is slow. Please expand on how you will reach a number that is meaningful for the company. So this goes back to the kind of the main pillars of our business plan as outlined in Page 2 in the presentation. So the key strategic priority for Huddly on increasing the revenue is to attract and sign and activate new strategic partners. And as you see also in the presentation, we have now signed, in a 12-month period, Shure for direct distribution, Barco with a go-to-market agreement and then Jabra, latest in September, for direct distribution. We believe, also with historical numbers from Huddly, that going together with these partners will allow us to increase the revenue and accelerate that increase compared to what we will see normally in the channel business. And then, is Google and Crestron still strategic partners? And that, I can happily say, yes, we still work with Google and Crestron. Which products are gaining traction? How is Huddly Crew sales going? This is this, actually, I'm very happy to say that Huddly Crew has become our flagship product, not only when it comes to, it's unique in the market and latest now, bringing the spatial awareness. Usually, most people don't know exactly what that means, but that means that our cameras now can understand the relation to each other, but also can map the room in 3D, which gives us a lot of information to expand its functionality, but also accuracy in how it works. This is something that the market also has understood, and Huddly Crew is now representing a very meaningful portion of our total balance and absolutely can say is our definite flagship product. Why is the ramp so slow? Any visibility on how to accelerate before you run out of cash again? So as presented previously, we are working actively to increase our strategic partner revenue for Huddly. And throughout the year, that has been ramping up gradually, and we do expect that ramp-up to -- and momentum to continue. Then there is a question about what are your technological competitive advantage compared to other players such as Cisco. Not to kind of go into any other specific competitors, but Huddly Crew has a unique position in the market based on the fact that it's built -- the architecture of Huddly Crew is built from the scratch with AI in mind. So it's an AI-enabled architecture and the same goes with C1. That means that we can provide experiences and solutions on a completely different price point because we utilize way less hardware, for example. And this also gives a lot of flexibility in the installation and makes the installation much quicker and therefore, more affordable, allowing the multi-camera to grow into a mainstream market and not being only reserved for the specific few boardrooms. So we do believe that we have quite a technological competitive advantage still with Crew, and the market is giving us that feedback as well. Then there is a question about, what do you expect from the sales in strategic channel in 6 to 12 months per quarter? Abhi, this is -- one for you.
Abhijit Banik: Yes. So we have already communicated our business plan with expectations in this year and next year. And we don't provide a specific number and breakdown, but we can say that we are keeping that communication as we have communicated before.
Rosa Stensen: And then I think -- let's see if there are coming any more questions. Yes. Then there is one last question here. Can you explain your product road map from 2026 and onwards? So in 2024, we entered the market with Huddly Crew. And now in 2025, we have started shipping Huddly's first audio-video combined product. Further, we have been enhancing Huddly Crew. As of last -- this week, we announced the spatial awareness of Huddly Crew. Those two products together will, as of start of '26, become part of the same platform. So you can mix and match Huddly Crew and C1, and they will work together seamlessly, allowing people to having a full audio/video multi-camera solution from Huddly. Going forward, we will work towards enabling then the audio and video experience into more scenarios and more rooms. Obviously, everything done on AI and with the new technology of machine learning and how we do that. Okay. Then I thank you guys for all joining us today. And if you have any further questions, you can always reach us at ir@huddly.com. Thank you.